Unknown Executive: Good afternoon, everyone. Now we'd like to start the earnings call by SCREEN Holdings for the first quarter of fiscal year ending in March 2026. Now let me introduce you the presenter for today. First of all, Masato Goto, Representative Director, Member of the Board, President, Chief Executive Officer; Yoichi Kondo, Director, Member of the Board, Executive Vice President, Chief Financial Officer. And along with CEO and CFO, we have 3 officers attending this meeting. Manabu Ishimura, Managing Executive Officer; Akihiko Miyagawa, Senior Executive Officer; and Chiho Otobe, Executive Officer. Now let me invite Vice President, Kondo, to give you the presentation on the outline of the consolidated results and the forecast. Now Mr. Kondo, microphone is yours.
?????: Now let me give you the outline of the consolidated results for the first quarter for the year ending March 2026. So we have increase of the sales and decrease of the profit and net sales were JPY 135.7 billion, that is plus 1.2% Q-o-Q and operating income was JPY 24.3 billion, minus 12.2%. And OP margin was 18%, that is minus 2.7 points Q-on-Q, but they are within our expectations. And as for the SPE, we had sales and profits both fell year-on-year, but is within our expected range. In FT, we saw the significant growth in the sales and the profits. We could make a good start buoyed by the robust FPD market. And on the balance sheet, equity ratio was 64.5% because of [ the portion ] of the asset. And next is the consolidated result. Net sales was JPY 135.7 billion, operating income was JPY 24.3 billion, and OP margin was 18% and ordinary income was JPY 24.5 billion and net income JPY 16.6 billion. And OP income, minus JPY 3.3 billion; ordinary income, minus JPY 3.3 billion; net income, minus JPY 1.5 billion. And this is the composition of group sales by destination. Japan, 15%; Taiwan, 29%; China, 34% South Korea, 5%; Asia and others, 4%; and North America, 9%; Europe, 5%. And this is the composition of group sales by segment. SPE, as usual, occupies the large portion of 80.7%; GA, 9.5%; FT, 7.4%; PE, 2.3%. And this is the consolidated earnings by segment. SPE, JPY 109.5 billion. OP income, JPY 25.6 billion and OP margin, 23.5%. And as you can find on the right side box, we had the sales and profits both fell. And foundry and DRAM sales decreased and decreased ratio of sales to China observed. As a result, against the same time of the previous year, there was a decrease of sales by JPY 2.6 billion and JPY 3.3 billion of OP income decrease. And next, GA. Net sales, JPY 12.9 billion and OP income JPY 0.5 billion, OP margin 4.4%. We saw the sales grow while profits declined.  Equipment sales rose, but it was offset by the exchange rate impact. And sales achieved JPY 0.5 billion of increase and OP income JPY 0.2 billion decline from the same time of the previous year. Next, FT, JPY 9.9 billion of sales; OP income, JPY 1 billion; and OP margin, 10.5%. Sales and profits both increased, especially equipment sales grew significantly, mainly by the OLED. And net sales increased by JPY 4.7 billion. OP income increased by JPY 1.3 billion. We now see the recovery. And next is PE. Net sales, JPY 3.0 billion, OP income minus 0. So sales and profits both fell, and we expect the recovery of demand for the advanced packaging. So we are still struggling with PE. So sales decreased by JPY 0.8 billion and OP income decreased by JPY 0.5 billion against the same time of the previous year. And next is the financial standing, and this is the balance sheet. So JPY 639 billion is the total asset and cash and time deposits largely decreased. And tax payment, dividend payment and share buyback, those caused the large decrease in cash. And also, we could collect the notes accountable, so that decreased and inventory is stable, but we saw a slight increase. And on the liabilities and net assets, we saw some decline in the interest-bearing debt. And we have the shrink of the total assets. So now the equity ratio could improve to 64.5%. And this is the cash flow. In the first quarter, operating cash flow remained at JPY 6.9 billion despite the recording net income due to the payment of income taxes and other factors. So it was JPY 6.9 billion in the first quarter, and we had the minus investing cash flow and minus free cash flow of JPY 2.7 billion. So we spent JPY 28.9 billion for the financing for the dividend payment and share buyback. And we are not concerned with the current situation. And next is R&D expenses, CapEx and depreciation and amortization. We don't change the full year expectation. So on the occasion of the last earnings call, as reported for the full year, we are going to spend JPY 38 billion for the R&D and JPY 28 billion for the CapEx and JPY 15 billion for depreciation and amortization. And for the first quarter, we spent JPY 8.5 billion for the R&D, JPY 4.4 billion for CapEx and JPY 3.4 billion for depreciation and amortization. And this is the analysis of operating income growth. In the first quarter, against the previous years -- the same time of the previous year of JPY 27.7 billion because of the contribution by the FT and GA, we could have the increase of JPY 2 billion, but profitability mainly attributable to GA. And fixed cost because of the growth investment such as the increase of the human resource, we had the minus JPY 4 billion for the fixed cost. And also mainly by GA, we had the negative impact from exchange rates. And next is the business forecast. This is as we reported. So on occasion of the previous earnings call, we haven't changed the forecast for the full year since then. So that is we are going to have the full year of JPY 621 billion of net sales, OP income of JPY 117 billion, ordinary income of JPY 117 billion. SPE, JPY 502 billion and JPY 121 billion and 24.1%. And GA, JPY 53 billion, JPY 2.5 billion of income, 4.7% of OP margin; FT, JPY 45.5 billion, JPY 5 billion OP income, 11%  of OP margin. And PE, JPY 15 billion of net sales with OP income of JPY 1 billion, OP margin of 6.7%. This is the forecast. The analysis of operating income growth forecast remains the same from JPY 135.6 billion, the sales and capacity utilization increase and plus 8 by FT and GA and profitability minus JPY 2 billion and fixed cost is minus JPY 19.5 billion and R&D will be promoted and exchange rates minus 5.5 and the exchange rates are shown here. And so the negative JPY 5.5 billion can be estimated. The exchange rate remains the same, and we cannot foresee the Trump's movement, and then we are going to maintain JPY 135 for USD and JPY 150 for EUR. And as per dividend, that remains the same from the initial forecast. The interim dividend, JPY 123, year-end dividend, JPY 157; annual dividend will be JPY 280, and we will not place the dividend payout ratio of 30% or higher. That's all from me.
Unknown Executive: And Mr. Kondo, thank you very much. Now the President and CEO, Goto is going to explain the business environment and outlook. Now Mr. Goto please. Goto is going to explain about the business environment and the outlook.
Masato Goto: The FY '26 March full year outlook summary. SPE aiming to maintain the solid net sales by thoroughly capturing opportunities arising from the leading-edge investment in foundries and memories for AI-related applications and as well as mature-node foundry demand. As for FT, the panel manufacturers, they have a very robust investment appetite and we would like to capture those opportunities. And as for focusing on building presence in advanced packaging, last year, we launched the Wafer Cleaning equipment and the PLP coater Lemotia and LeVina direct imaging system for packaging with our sales are expected to increase. And as for the forecast of the market is quite severe but toward the next growth, we will implement steadily the growth investment to prepare for the growth. And SPE business overview. WFE, we maintained the May forecast. In the current year 2025, the market is expected to match the CY 2024 level. As for CY 2026, in comparison to CY 2025, we expect the growth. Not that significant growth can be forecast at this point in time, but at least, the single digit -- lower single-digit growth is expected. We are expecting the recovery of the market. And the investment trends by application as for foundry, the continued investment momentum in leading-edge nodes, especially for AI-related applications. And as for logic, at the moment, the clients carefully revisiting their investment plans. And as for the investment, we are going to scrutinize those investment to respond to changes. As for memory, the investment for HBM and DDR5 remains solid, driven by AI demand. As for NAND investments, they driven mainly by the need for multi-layering. On the other hand, image devices, some of the planned investments have been delayed. So in accordance with the delayed plan that we would like to respond. And power devices and others. The weaker investment trends in the industrial and automotive applications on the back of the decline in the investment for automotive, but we expect a recovery from CY 2026 onward. Advanced packaging area, investments in leading-edge nodes for PLP are going to be promoted. And so we are going to strengthen our initiative in this market. As for Chinese market, the existing foundries, customers and clients, they are expected to continue their investment in WFE. SPE composition of equipment sales by application and post-sales. At the far right bar graph, as you can see, as for foundry, a little bit of decline from the previous quarter in terms of proportion. But as for the DRAM quarter-to-quarter, there is an increasing trend. As for logic and the flash increased slightly. And as for the logic increase, the attributable to sales to China. And post-sales remains stable. So we are going to secure steadily. Next, the SPE segment composition of sales by destination. Quarter-to-quarter, sales to Taiwan grew slightly. Year-on-year basis, sales to Taiwan rose significantly and sales to Japan increased slightly. This trend is expected to continue going forward. And next, the SPE composition of sales by application forecast by new application and post sales. And the first half forecast, as you can see here, the logic is struggling. However, the DRAM is going to drive significantly. And Q1 results and the Q2 estimate and then DRAM is expected to increase significantly. And if we compare the first half and the second half and the logic existing customers are struggling, but the logic demand by new customers are emerging. So that increase is incorporated. And SPE composition of sales by destination forecast. 1Q results and Q2 estimate and Q2, the sales to China is expected to increase significantly. In the first half estimate and the second half estimate, in the second half, sales to Japan, Asia Oceania, Korea and North America are expected to increase. And the previous year results and this fiscal year estimate, the sales to Taiwan, Japan and Asia, the market, we expect that increase. As for GA, the recurring business remains stable. Despite the impact from the U.S. tariff policy, but we aim at improving profitability exceeding the impact. Next, FT sales trends. As I explained earlier, the sales buoyed by the recovery of the FPD market. And going forward, OLED is going to be promoted further. Therefore, the OLED investment will be the growth driver. And we returned to profitability in the previous year for the first time in 3 years. In the Q1, the significant profit improvement has been seen. And so we expect the stable sales and profits going forward. Next PE. Continuously, the market situation is sluggish associated with the miniaturization of circuit board, full recovery of investment in packaging is expected from the end of the calendar year 2025 onward, but the post-sales remains solid. And so centering on post sales, we would like to develop our business. And this is a summary of resolutions regarding treasury shares. And today's afternoon, we released this information. So we had the cancellation of treasury shares. And common stock of 6,209,746 shares will be canceled as of August 29. And also, we have the contribution of additional funds to the performance-linked share compensation system and disposal of treasury stock. And the total acquisition -- total share to be acquired is 415,200 shares and the cost will be JPY 5,102,808,000. And the period of acquisition is August 13. And this is the page about the ESG initiatives about environment, based on the TCFD recommendations, we made the annual update. And you can find the disclosed information on the home page.  And governance and others. The information is now updated on our web page, so please find them. And this is a page about the recent SCREEN Group's news. So Holdings has been working on new businesses. And one of them is the MEA systems trial offer, which is capable of simultaneous measuring and recording data. And [indiscernible] is made in this way, so please find the information. And other topics, you can also find the information on them in our home page.
Unknown Executive: Now we'd like to go into the Q&A session.
Unknown Executive: So first, let me invite Mr. Yoshida from CLSA Securities. I'm Yoshida from CLSA.
Yu Yoshida: I'm Yoshida from CLSA. First of all, I want to know how you think the second quarter of SPE. So by application, is the increase and also you expect the increase of sales from China, especially the DRAM. So do you think that DRAM in China may reach their sales growth? And when do you think the first quarter or the first half, is there any change from the one you explained on the previous occasion. So towards the second quarter, what change do you see? What change by sales by the applications compared to the one you expected 3 months ago?
Masato Goto: So this is Goto. Let me answer your question. So first, by application, there's no big change in the trend. As you know, in the market, the outlook is very uncertain. So the customers have the plans, but the timing of the commencement of investment a bit different from what we originally expected. And that may cause some change in the proportion of sales we expect, but the overall situation hasn't changed.
Yu Yoshida: So for the second quarter sales, do you expect that to be led by the DRAM in China?
Masato Goto: Yes, you can understand in that way.
Yu Yoshida: And my second question is about the WFE in 2026. So you said that you can expect the lower single-digit figure. And this growth of the lower single digit, do you explain it by the application and by the destination? So what level of market growth do you expect for the 2026? So could you elaborate on the expectation for 2026?
Unknown Executive: So it is difficult to come up with a detailed expectation for 2026 by application and by destination as of today. But as in general, WFE demand compared to 2025, we expect the stronger demand for 2026. This is a result of the various surveys and investigations. So what will grow by how much can be seen in a specific way at the end of this fiscal year. But at this moment, it is difficult to talk about the specific details. So I ask for your kind understanding.
Yu Yoshida: So you are feeling that you may have the strong demand from now. And in what area, what application and what we expect the strong demand coming?
Masato Goto: So on that point, as you know, related to AI applications, demand will grow from now. And so we expect the growth of the relevant equipment.
Unknown Executive: Goldman Sachs Securities, Mr. Nakamura, please.
Shuhei Nakamura: First question, the Q1 sales and profit, the evaluation and the SPE profit margin, I would like you to elaborate on them. And then the first half for the forecast, the progress seems to be slower, but Mr. Kondo explained that it's on par with the assumption. And so I would like to hear more details and the SPE from the Q1 to Q2, that is expected to increase, but the SPE sales are expected to increase significantly. And the sales to China is going to increase. So the increase should be more, how do you evaluate?
Masato Goto: The Q1 result, as Mr. Kondo mentioned earlier, the slight sales the replacement contents, but it's the same as we had estimated and some were declined but due to the product mix, there's some increase. And so all in all, the Q1 period, the sales amount is on par with our assumption in the full year forecast. SPE's OP margin due to the product mix mainly. But basically, we have taken various initiatives to improve the profitability, and you can see some of the results from our initiatives. By quarter, there are some fluctuation, but all in all, our initiatives have been producing results. So generally speaking, profit is on the way of improvement.
Shuhei Nakamura: I understood. The second question is about the concept of China business. In the first half and the second half SPE, the composition -- sales composition. The second half, the mid-30% is planned. On the other hand, the local semiconductor investment appetite seems to be strong continuously. So in the coming 3 months, if you have seen any changes? And also, I would like you to explain the prospect.
Masato Goto: In the business for China, we have been repeatedly mentioned so far. For the past 2 years, the sales to China has become high. And this fiscal year's forecast was asked several times. What we answered is that the business proportion to China will become stable.
Shuhei Nakamura: And what is the proportion?
Masato Goto: We answered that is mid-30% and it has come to that level. And at the beginning, business to China due to the regulation by the U.S. were somewhat limited. But other than the -- our expectations, business to China were not targeted by the regulation. So from the current situation, the little decrease, but continuously, the mid- to higher 30% level would be the proportion of business to China. One confirmation in the second half, the sales to China, how we look at the sales to China in comparison with the 3 months ago, there are no big change. Yes, that is correct understanding.
Unknown Executive: Next, let me invite Mr. Shimamoto from Okasan Securities.
Shimamoto Takashi: I am Shimamoto from Okasan. And I'd like to have your advice on how to see the WFE in 2025. Are there any growth expectation by application?
Unknown Executive: So Otobe will follow with the figures.
Chiho Otobe: This is Otobe speaking. In calendar year 2025, by application, in foundry, we expect to plus 10%; logic, minus 20%; and memory, when is the breakdown, DRAM, 10% plus; NAND plus/minus 0%. We have both the negative and positive figures. And for the imaging device and power, minus 5%. These are the expectations we now have.
Shimamoto Takashi: And how do you see the China market?
Masato Goto: So the China market -- China business in WFE, our image is that we may see the slight decrease, so minus single digit. Yes, that's the we have.
Shimamoto Takashi: And follow-up question on that point. So the figures you gave me are almost the same as that of the 3 months ago. So expectation by application hasn't changed since 3 months ago?
Chiho Otobe: Yes. As was explained by Goto a moment ago, we don't see any big change in the trend. So it was May when we had the previous earnings call. So less than 3 months had passed, and there's no big change in the situation or expectation.
Shimamoto Takashi: And second question is about the impact of the tariff. There's uncertainty about the appetite by the customers in investment. And so do you see any change in the sentiment of the customers in the past 3 months? Or about the 2026, you think it's better to have the very tough view on it? So I think you have the communications with the semiconductor equipment manufacturers. And how do you expect the appetite for the investment?
Masato Goto: As long as we see the impact of tariff by Trump legislation doesn't cause any big revision of the investment plan by our customers. And we haven't heard any specific plan of the revision of the plan.
Unknown Executive: Next, Nomura Securities, Mr. Yoshioka please.
Atsushi Yoshioka: I am Yoshioka from Nomura Securities. By application, sales by application, I have a question. This fiscal year, full year forecast, by application, the breakdown has been indicated that NAND sales, the '26 March is expected to remain same year-on-year. As for this, the industries, other WFE companies, the forecast seems to be different. So as the investment in NAND application, you haven't seen the investment or the investment will center on the multi-layering you mentioned. And so your cleaning equipment, higher the integration that your exposure might be decreasing? Or what is the -- your expectation for this fiscal year sales in NAND?
Masato Goto: Our expectation of NAND, the customers, the investment timing has not been well determined. And so because of this uncertainty, the market memory price forecast is also difficult to foresee. In that sense, our clients, the NAND memory clients, in which timing they are going to make an investment for NAND, they haven't officially determined the timing in our understanding. So because of that, we explained in this way.
Atsushi Yoshioka: So the intensity of cleaning equipment has nothing to do with that. I understood. The second point, the sales by application once again, as for foundry, the -- of course, I'm not mentioning the customers' name, but the 2-nano investment, making the sales contribution this fiscal year. But including the advanced investment in this fiscal year, I believe that it has posted in sales toward the next fiscal year, then the sales have more potential to increase next fiscal year that would you explain about the forecast for next fiscal year?
Masato Goto: 2-nano advanced packaging and the mass production hasn't started. It's still pilot stage. And so 2-nano area will make a contribution to sales. At the moment, 2-nano area will not contribute to increase our volume in sales. Having said that, the mass production for leading edge, the 3-nano is quite robust. And so there will be a contribution from that. And also the U.S. the device manufacturer for AI and their China business was lifted. Therefore, the market for China will be targeted and the proportion will be increased for that. And so the business for foundry are expected to increase to cover that area.
Unknown Executive: Let me invite Hirakawa-san from BofA Securities.
Mikio Hirakawa: My first question is about the profitability. On Page 11 and Page 13, there's analysis of the profitability. And SPE minus, but the [indiscernible] will make a contribution to profitability. And I want to know more about the fluctuation of the SPE's profitability. And related to that, we want to know the profitability of the specific product. There may be some negative figures, but what improvement did you see for this fiscal year in terms of the profitability in terms of the operation?
Unknown Executive: So about the operation, the specific amount of the improvement cannot be disclosed. But of course, as a manufacturer on a daily basis, we are trying to improve our profitability and productivity and reduction of the cost. So the OP margin target in order to achieve that target, we have some milestones. And towards them, step by step, we are making improvement. So we have the targets so that we can achieve the annual improvement.  So we're trying to achieve that improvement in profitability. And so for this fiscal year and next fiscal year, you have the room for improvement. So basically, improvement of profitability is a very important theme for us. So we will steadily work on it. But the result of which, as you mentioned or as we mentioned, it depends on the product mix and also the situation. But as for the basic measures to improve the profitability, we'll continue to carry them out and the impact of them allow us to have the expected results.
Mikio Hirakawa: My second question is about the sales idea about the first and second quarters. So you mentioned about WFE and President Goto said that because of the certainty, there may be some delay in the start for this fiscal year. So how do you see the first quarter? And as for the second quarter, you already finished the shipment for the sales accounted to the second quarter. So I think you have a good visibility. So you advise us what the visibility you have? I'm sorry for the question about the short period of time. SPE's first quarter sales ship sales delay, is there any delay? And about the visibility of the second quarter sales?
Masato Goto: So quarter-by-quarter, we have the sales accounted. And every quarter, there are some changes taking place, and that's true. And as for the second quarter, we see some changes. But as of today, as for the sales for the second quarter, as you mentioned, we have the good visibility.
Mikio Hirakawa: And follow-up question. So sales in second quarter, do you see any risk factor? And where are they if there are any? Or you don't have any risk factor you need to mention?
Masato Goto: At this moment, we do not see any big risk factor. But we account the sales when we complete the installation. So there are some cases that we cannot complete the installation of equipment, but we do not expect any big risk from this. So at this moment, we don't have any big risk factor we expect.
?????: This is Kondo. Let me add. So the case we cause troubles. So as for the completion of the installation, we have the very severe standard. So there are some cases that the situation may be looked different from the site. So I cannot say that we can guarantee 100%. There is no completion of the installation.
Unknown Executive: So next Jefferies, Mr. Nakanomyo, please.
Masahiro Nakanomyo: I am Nakanomyo from Jefferies Securities. So I'm sorry to repeating the similar questions. The Q2, the breakdown, China and DRAM are expected to increase. I have a sense of discomfort. DRAM is going to increase in South Korea, I can understand. But in China, the proportion of Korea remains the same. And then China, the proportion is going to increase. And then the DRAM also is increasing. And do you have a visibility on that? Or this initial plan in the first half forecast, there are some difference by application, but no change by destination. And so it seems like you keep the Q2 by application, by destination coming from the accumulation who are you willing to show the stability in the first half?
Masato Goto: So we don't have any intention to maintain this initial plan. According to the customers' investment plan, we offer the -- our products, it happens to be this result. And so as you mentioned, the Q2 sales, the China's portion, DRAM sales in China, according to -- when we look at this quarter, it's large. That is a fact. But we haven't manipulated anything. We didn't have any intention to make any intention.
Masahiro Nakanomyo: Sorry, the standard of installation, the completion standard, the [indiscernible] capture the trends of the other companies and the timing may be different somewhat. And that's why you feel a sense of discomfort or the difference. And please take that into consideration. From the Q1 to Q2, any delay or the shift from Q1 to Q2, but the DRAM is going to increase as is assumed. Yes, that's correct understanding. Next is a different business around investment -- current investment and leading-edge process in order to capture the leading-edge investment, you are increasing the R&D and DRAM miniaturization process. And the leading-edge process, the POR capturing forecast. Can you explain that those areas?
Masato Goto: Advanced device for the leading-edge device, we are good at and we are going to capture the POR in that area. We are taking various initiatives. I cannot give you details on that.
Masahiro Nakanomyo: But on the IR Day, what kind of initiatives we are going to take?
Masato Goto: We are taking, I would like to explain on IR Day we established the R&D basis overseas in order to capture or the strengthen the capturing the POR of leading-edge devices investment. And so we take measures to grow our strong area. This is what we are striving for.
Masahiro Nakanomyo: Cleaning equipment or the CoWos area. What is your forecast?
Masato Goto: We are working on that. As for this initiative, I cannot give you the details specifically. If we have an opportunity, we would like to make an announcement.
Unknown Executive: Next, let me invite Mr. Yasui from UBS Securities.
Kenji Yasui: This is Yasui  from UBS. I would like to make a question on the impact of the export restriction. So at the end of December last year, there were new regulations imposed. And in the past 6 months, did you see any change in share on yourself and also on the competitors? So I want to know about the changes taking place in the past 6 months. And also after the regulation of Trump administration, the other day, the policy on AI applications was announced. So after the regulation of Trump administation, do you pay any specific attention or special attention to the policies by the Trump administration?
Masato Goto: As for the regulation, we do not see any big change. The subject of the item, the regulation may increase a little bit. We have such information, but we do not see any big change in the regulation relevant to our business. So as according to original plan, we will carry out the business. And after the start of the Trump administration, we do not see any big change basically. But because of the nature of Mr. Trump, there is some uncertainty about what or what policy will come up. But at present, he may pay attention to Russia. So regulation against China, I think he is trying to find out what he should do with that. That's the information we don't have, but we haven't heard anything concrete. So we'll continue to take the attitude and the measures as we had.
Kenji Yasui: My second question is about the China business. So I think the local players in China are gaining the capabilities. And the event, which is very attractive and very active. So do you expect that the Chinese local players will be prioritized in China? So at present, do you see any decline in number of customers for you? Or do you expect -- or do you see that strong relationship with the customers for the advanced products or equipment? So please let me have the coloring situation.
Masato Goto: So as for the local suppliers in China, it is true that they are gaining more capabilities year after year in various areas, we see the presence of the local Chinese players. I think you are finding the situation in such a way. But in the advanced area where we have the strength, still there are not many -- there's no Chinese local players. So for the memory and power device area, there are many Chinese local players, but in order to differentiate ourselves from the others, we're taking various measures. So maybe it is true that we can expect that they will catch up with us a little by little. But at this moment, we do not regard them as a big threat, which will have the big impact on our business now. But as I mentioned earlier, Chinese local players are gaining their capability now. So we have to take measures. We'll continue to take measures so that we can continue to be able to differentiate ourselves from these players in China.
Kenji Yasui: Mr. [indiscernible], how about the current situation? One question. Package is moving. And specifically this fiscal year or next fiscal year sales forecast for your prospect, would you explain that?
Masato Goto: Packaging area, as we explained at the briefing, the Wafer Cleaning, we are good at. And also last year, we released a new PLP quota Lemotia and will make a contribution to our sales this fiscal year as well. And the size of our sales, the single-digit billion yen this fiscal year that we capture them and then we connect them to the further increase. Next fiscal year, it will become the double-digit billion yen level. It depends on the market situation. The current trend is moving that way. So we would like to capture those numbers. And that's all for me.
Unknown Executive: We have 2 more minutes. So this would be the last question to entertain from Citigroup, Mr. [indiscernible].
Masahiro Shibano: I have 2 questions. First is about how to see the forecast for this year. So 3 months ago, your expectation for the fourth quarter was uncertain. So maybe in summer, when you see the lead time, you can have the more specific idea on the fourth quarter. And my interpretation is that you sounded a bit conservative. So we can expect kind of upside. So I want to know how you see the situation now. And next is about the IR Day. Thank you very much for having that event. And I think we can hear about the direction from now. So -- if you share with us any general idea about the trend from now, which is available at this moment, please give it to us now.
Masato Goto: The outlook of the fourth quarter, even now, we cannot give you the concrete idea about it. So finally, the tariff on Japan was decided. So in that sense, from now, based on what was decided, we will study what we will do. So not only SCREEN Holdings, but the customers in overseas who buy the equipment and materials from Japan will study their plans from now. So in that sense, the outlook into the fourth quarter, maybe we have to be waited 1 or 2 months. So maybe -- and at that time, I think we can have the more clear visibility about next fiscal year and onward. So we'd like to make the more detailed study. And I think your second question is about what I am doing myself. So towards the next step of growth, we are trying -- we have to make preparation. So in that sense, we are now reviewing the current business to find out we can achieve the greater growth. And in order to make the next step, I think the current period is a period for the preparation. So we'll make the proper investment into research and development or future growth, and we now secure the budget for that. So we will come up with more specific plans and make investment and make the harvest. So that's what we are going to do in this year. And that will be reflected in the next midterm management plan so that we can achieve the target of the charter. So whole group will work toward that big target. And as was pointed out, there are so many things we can still do and improve as SCREEN Holdings. And I'm telling to my employees that we still have room for further growth. And we are not perfect yet. So when we take the proper appropriate measures, we can achieve the growth. So we will make preparation, take measures and achieve the growth. So I'm sure that we can achieve the good results when we make the good preparation and take all the measures available. And when the specific measures are decided, let me take another opportunity to make report on them to you. Thank you very much.
Unknown Executive: And this concludes the earnings call by SCREEN Holdings for the first quarter ending in March 2026. Thank you very much for your participation despite your busy schedule to the end of the program. Thank you very much.